Operator: Greetings. Welcome to Rollins, Inc. Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I would now like to turn the conference over to Lyndsey Burton, Vice President of Investor Relations. Thank you. You may begin. Thank you. In addition to the earnings release that we issued
Lyndsey Burton: The company has also prepared a supporting slide presentation. The earnings release and presentation are available on our website at www.rollins.com. We have included certain non-GAAP financial measures as part of our discussion this morning. The non-GAAP reconciliations are available in the appendix of today's presentation as well as in our earnings release. The company's earnings release discusses the business outlook and contains certain forward-looking statements. These particular forward-looking statements and all other statements that will be made on this call, excluding historical facts, are subject to a number of risks and uncertainties. Actual results may differ materially from any statement we make today. Please refer to yesterday's press release and the company's SEC filings, including the Risk Factors section of our Form 10-Ks for the year ended 12/31/2025, which will be filed later today. On the line with me today and speaking are Jerry Gahlhoff, President and Chief Executive Officer, and Kenneth Krause, Executive Vice President and Chief Financial Officer. Management will make some opening remarks, and then we will open the line for your questions. Jerry, would you like to begin? Thank you, Lyndsey. Good morning, everyone.
Jerry Gahlhoff: Fiscal 2025 was another solid year for Rollins.
Jerry Gahlhoff: As we achieved a milestone of $3,800,000,000 in revenue. As Ken will detail, we delivered double-digit revenue, earnings, and cash flow growth but we did have a tougher finish to the year in the fourth quarter. Early winter weather caused demand to soften especially in the Midwest and Northeast, which impacted one-time and certain seasonal projects across all three business lines. Revenue from one-time business in the quarter declined by almost 3% compared to year-to-date growth through the first nine months of the year, of 4%. Erratic weather patterns hindered demand for one-time projects and at times made it difficult for us to service the demand that did come through. Organic growth in the recurring portion of our business and ancillary services, which represent over 80% of total revenue, was above 7% for both the quarter and the year. Our underlying markets remain healthy, customer retention rates are strong, and we are confident that nothing has fundamentally changed with respect to our end consumer. Lower volumes in the quarter did hamper profitability which can happen in shoulder seasons, particularly when weather gets choppy. It is important that we maintain healthy staffing levels ahead of peak season so that we are not hiring, training, and onboarding a large number of new teammates at the same time seasonal demand ramps up. We have learned that extreme ramp-ups in hiring drive teammate turnover rates higher and that will not yield the optimal experience for our customers. This can impact productivity in the short term as it did in the fourth quarter. But it is the right decision for the business long term, as it sets us up to capitalize on peak season demand that is right around the corner. Moving on to some highlights. This year, we prioritized getting better as we become bigger, and made a number of investments throughout our business to support our teammates and enhance our customer experience. In support of our efforts around the Rollins Way, we are making significant investments to support the future growth of our company and establish consistent leadership behaviors across the enterprise. Our talent and development team has designed a program called the CoLab for all people managers. Servant leadership is the foundation of these sessions, which are designed to help leaders enhance skills for personal development, team development, and business growth. Our efforts here are intended to create a culture of cross-brand collaboration and cross-functional talent where teammates can seamlessly transfer between brands, divisions, our home office, and field operations. This will further enhance career opportunities for our teammates and create a robust pipeline of future leaders who can not only sustain our growth, but also help us reach our full potential. Operationally, we remain committed to hiring and developing top talent. The hiring environment was healthy in 2025, as we put significant energy into onboarding the right people, in both support functions and the customer-facing side of our business. We are proud of the tenure and experience of our team, as well as their engagement level and commitment to both our company and our customers. While overall teammate retention has been consistently healthy, we have made encouraging progress in improving retention of our newer teammates, specifically those who are with us for one year or less. While there is still work to be done here, we saw teammate retention in this category improve by approximately 8% in 2025 and it has improved nearly 18% since 2023 thanks to our ongoing efforts. In 2025, we closed the acquisition of Sela, and completed 26 additional tuck-in deals. The performance of Sela has continued to exceed our expectations and integration has progressed very smoothly, thanks to the efforts of our collective teams. We have a robust M&A pipeline with a number of opportunities that we are actively evaluating to drive additional growth. As we look ahead to 2026, we are encouraged by the opportunities that are in front of us across all aspects of our business. We remain committed to providing our customers with the best customer experience, and investing meaningfully in our team to drive growth both organically as well as through disciplined acquisitions. We are pleased with where our business stands today and what lies ahead of us in 2026. And I want to thank each of our 22,000 plus teammates around the world for their efforts and contribution to our success in 2025. I will now turn the call over to Kenneth. Thanks, Jerry, and good morning, everyone. Our results for the quarter and the year reflect continued solid execution by the Rollins team. Let me begin with a few highlights for 2025. First, we delivered robust revenue growth of 11% for the year, with strong growth across each of our service offerings. Organic growth was 6.9% for the year, while acquisitions continued to be a meaningful part of our growth profile. Second, despite making significant growth investments, adjusted EBITDA grew by 10.8% to $854,000,000. And finally, we delivered operating cash flow of $678,000,000 and free cash flow of $650,000,000, up 11.6% and 12.1%, respectively, versus last year. Cash flow was negatively impacted by an out-of-period tax payment of $22,000,000 associated with the disaster relief measures that allowed us to defer our payment in the fourth quarter of last year to the first half of this year. Excluding this, free cash flow growth was approximately 20% for the year. Our strong cash flow performance enabled us to execute a balanced capital allocation strategy, deploying over $880,000,000 of capital in 2025 with a focus on investing for growth, while returning cash to shareholders through our growing dividend and share repurchase. Turning to our fourth quarter performance. Revenue in the fourth quarter was up 9.7% and organic growth was 5.7% versus last year. In the fourth quarter, residential revenue increased 9.7%, commercial pest control increased 8.7%, and termite and ancillary was up 11.9%. Organic growth was 5.7% in the quarter across all services. Organic growth was 4.4% in residential, 6.4% in commercial, and 7.6% in the termite and ancillary area. Growth across each category was negatively impacted by softer one-time revenues. Unpacking organic growth further, it is important to look at the recurring and related ancillary service area versus our one-time business. Recurring revenue and ancillary services, which represent over 80% of our business, grew at over 7% organically. The remaining part of the portfolio, primarily one-time work, declined almost 3% in Q4 after growing 4% through the first nine months of the year. This business has more recently grown at approximately 1% to 2% annually. Weather was erratic in the quarter and had an impact here. Demand for one-time services and the ability to service this related demand was particularly subdued in November and December due to early winter weather in the Eastern Half of the United States, where we have significant location density. We see the slower growth in one-time as transitory, while the stability of growth in our recurring and ancillary areas gives us confidence in our outlook, which continues to be anchored to 7% to 8% organic growth. Gross margin was 51% in the quarter, a decrease of 30 basis points. Looking at our four major buckets of service costs: people, fleet, materials and supplies, and insurance and claims, fleet expenses were higher as a percentage of revenue primarily due to timing of vehicle gains compared to last year. This represented 80 basis points of headwind in the quarter. Deleverage from people costs was driven by lower volume in the quarter. These pressures were partially offset by improvement in margins associated with insurance and claims as well as materials and supplies. SG&A costs as a percentage of revenue increased by 50 basis points versus last year. We continue to be bullish on our markets and related position and are making investments in our business that will enable long-term value creation despite the lower volumes we realized in the quarter associated with the one-time business. This had a negative impact on SG&A as a percentage of revenue in the quarter. Fourth quarter GAAP operating income was $160,000,000, up 6.3% year over year. Adjusted operating income was $167,000,000, up 8.1% versus last year. Quarterly EBITDA was $194,000,000 and EBITDA margin was 21.2%. The effective tax rate was 24.7% for the quarter versus 27.3% last year and 24.9% for the full year period versus 26% in 2024. The 2025 rate was lower primarily due to the great work our tax team has done to continue to improve our effective tax rate. Quarterly GAAP net income was $116,000,000 or $0.24 per share. For the fourth quarter, we had non-GAAP pretax adjustments associated with acquisition-related and other items totaling approximately $6,000,000 of pretax expense in the quarter. Considering these adjustments, adjusted net income for the fourth quarter was $121,000,000 or $0.25 per share, increasing just under 9% from the same period a year ago. Turning to cash flow and the balance sheet, operating cash flow decreased 12.4% in the quarter to $165,000,000. As a reminder, cash flow in Q4 2024 benefited from a disaster relief measure granted to those with operations impacted by Hurricane Helene that allowed us to defer an estimated $22,000,000 tax payment, which was paid here in 2025. Free cash flow conversion, the percent of income that was converted into free cash flow, was 137% for the quarter. We generated $159,000,000 of free cash flow on $116,000,000 of earnings. We made acquisitions totaling $21,000,000 and we paid $88,000,000 in dividends in the fourth quarter. Dividend payments increased 11% from the prior year and are at a healthy and very sustainable rate. Including the recent increase announced in Q4, we have raised our regular dividend by more than 80% since 2022. Additionally, we have invested approximately $200,000,000 in share repurchases in the quarter, affirming our long-term view on the value of our company. Our leverage ratio stands at 0.9 times. Our balance sheet remains very healthy and positions us well to continue to execute our balanced approach to capital allocation: reinvesting in the business, growing our dividend as earnings and cash flow compound, and pursuing share repurchases opportunistically. Throughout our history, we have managed this business through an investment grade lens, and we will continue to do so in the future. We are committed to maintaining a strong investment grade rating with leverage well under two times. We are encouraged as we look to 2026 and are focused on delivering another year of double-digit revenue, earnings, and cash flow growth. We continue to expect organic growth in the range of 7% to 8%, with additional growth from M&A of at least 2% to 3%. While we may see weather impacts on the business from time to time, we remain committed to our long-term growth outlook. Additionally, we are focused on improving our incremental margin profile while investing in growth opportunities. We anticipate that cash flow will continue to convert at a rate that is above 100% again in 2026. With that, I will turn the call back over to Jerry. Thank you, Ken. We are happy to take any questions at this time.
Operator: Thank you. We will now open for questions. Our first question is from Timothy Michael Mulrooney with William Blair. Please proceed. Good morning.
Jerry Gahlhoff: Good morning, Tim.
Timothy Michael Mulrooney: Thanks for all the detail around the one-time sales and the recurring base of business. It is all very helpful to understand how the underlying business is performing. But I am curious if you could expand a little bit more on that 7% growth that you are seeing in the recurring and ancillary business. Like, you know, how do you get comfortable that that level of growth is heading into 2026? Like, can you provide any details on retention rate or net gains or customer wins? You know, any of these underlying metrics that might help shed some additional light for us?
Jerry Gahlhoff: Tim, this is Jerry. I will walk you through a few of the main points on my mind and maybe Ken can add a little color to it. There is I think there is a lot of data points that we have that give us that comfort, if you will, about the future. In the fourth quarter, we looked at our price increase data and we monitor that throughout the year and we look at what the consumer health is like. For example, we have really super low impact of things like percentages of rollbacks and things along those lines. That gives us a great deal of confidence that our consumer is still healthy. It also indicates to us that we affirm our plan to continue to move forward with our pricing initiatives that we have laid out for ourselves to continue to use price as a lever as we move into 2026. So we are very comfortable there. If you look at the customer retention side, it is very stable and we have also had some areas that have improved. And looking specifically, Orkin, for example, at the net gain of the customers they carried in at what they had at the end of the year compared to the beginning of the year, they had the best performance in growing their customer base that they had since the COVID era. So that first year of COVID was everyone at home and signing up for services and they saw that big net gain there. And this is the best year since then. We look at things and monitor things like our close rates on customers calling in, and that also tells you a little bit about the health of the consumer, you know, the health of our pricing programs, things like that. We look at the leads and our closure rates, the closure rates, it is up. It is not down. So we are also seeing, for example, on ancillary business, our customers are not overly price sensitive. And we have financing options that give them the ability to get the much needed work that they need done, to give them peace of mind and allow them to pay over time. So we see all those. Those are the things that we look at every single day. And it just gives us a lot of comfort. That is why I said what I said fairly emphatically in my opening remarks is that there is nothing fundamental about our business that has changed. We are going to keep doing what we do, and trying to deliver the best service that we possibly can for our continuing growing customer base. Because that is the most important part of our business is the recurring piece and that is where we want to spend our marketing dollars, is creating recurring base and that is how we want to continue to invest in our business. And just to add on to what Jerry had mentioned there, another couple of points. If you look at the recurring organic business, without ancillary, right, if you actually look at it even and unpack it even further, you actually saw 10 basis points more of growth in Q4 versus Q3. And so you are actually seeing that business hold in. If anything, it strengthened a little bit between Q3 and Q4. The ancillary business still growing strong, high teens, mid-teens double-digit. That business normally grows in that 20% range. When you cannot get people on the roof safely and you cannot get them out into the worksite, you will feel the pain and you will feel the impact there. But that business, again, growing at mid to high teens, very healthy, that is the big ticket. That is the nine shots on goal that I have talked about quite frequently with investors. Is that we have all these opportunities and we continue to see good demand there. So I think those two things give us a sense that the business is holding in there, especially that recurring revenue, which is 75% of our business, strengthening by ten or so basis points between Q3 and Q4. And I think too, Ken, you think about 2024 was our best 2024. We were having to lap that in some little more challenging conditions. And we knew starting the year that it was going to be a tougher comparable for us year over year and certainly was a little bit of a headwind for us the last couple of months of the year.
Timothy Michael Mulrooney: Yes. Tough comps, definitely. That is definitely another aspect of this whole thing. So that is all great color. Thank you. And I think I am more comfortable with the fact that the underlying business is fine. This is all weather related. Can you dive into this weather disruption by segment? Like, was it more on the, I am thinking about it more like hey, it would be on the resi and termite side more, but your resi business actually held in better than what I was expecting given the comp situation. But then I look at the commercial side, and I saw Ecolab’s fourth quarter results. Their commercial pest business was fine in the fourth quarter. It does not seem like they saw that disruption that you saw. So I am just trying to reconcile all that. Can you talk a little bit about impact by segments from that weather?
Kenneth Krause: Yes. I will take that and then Jerry will add on to that as well. But I think just starting with commercial. And looking at the commercial business, commercial recurring business grew at 7.3%. And so again, we continue to see good demand there. The challenge was again one-time business even in the commercial setting, which is roughly 15% of that business. And so you certainly saw the one-time impact on the commercial. You saw it in the residential. I mean our residential recurring business is holding in there and is strong and we feel good about it. But the one-time business, the wildlife business and things like that, certainly felt the impact of the slower, the challenging weather patterns. And then on the termite, you are spot on. The termite, the pretreat, that sort of work you saw some weakness. The recurring, the base in the recurring business, continues to do very well. It continues to be a very healthy growth pace for us. But some of the pretreat one-time termite you saw a little bit of weakness. And so I think when you frame it, we feel good about, again, all of the businesses in the recurring businesses coming through. Feel like the fact that we could not get out, we could not service, we could not get that work done, that is what caused the most significant impact on our revenue growth in the quarter. And Tim, in looking at the commercial side in particular, it was the commodity fumigation business that on the tail end of the year had, that is the one that is all one-time work. And year over year, we had a comp there that was more challenging for us. And so again, while our recurring base in commercial continues to grow, the one-time in the isn’t the one-time necessarily selling to our existing customer base on programs and services. It was driven very heavily through commodity fumigation. And then when you look at the residential side, a lot of that is wildlife and some of the seasonal pests that we did not have as long of a window of time to get at some of those seasonal pests that take the fall pests, box elder bugs and stink bugs and these kinds of things that are seasonal things that come up that we kind of rely on and get those one-time calls to go take care of them or general pests just seeking indoor shelter. That season was just a little shorter. And it was really more in the East, Eastern Seaboard, parts of the Midwest. We did not see as strong of a trend in that out West and California and some of those other markets that remained very strong. So again, that just tells us that the underlying business is still pretty strong. It was there, but we were just impacted by this choppiness.
Timothy Michael Mulrooney: Understood. Commodity fume, I had not even considered that, that fully explains it on the commercial side as well. So thank you for all the color, guys. This is very helpful.
Jerry Gahlhoff: Great.
Operator: Thank you. Our next question is from Manav Patnaik with Barclays. Please proceed. Yes, I was hoping you could just put some numbers by segment as well, how you gave us the plus 4% year to date and then down 3% for fourth quarter.
Manav Patnaik: Just by segment as well? And also, what is the margin profile of this one-time business just to consider that as well?
Kenneth Krause: Yes, that is a great question, Manav. And thank you for asking that. The margin profile on this one-time business is oftentimes better than the margin on our recurring business. Because we are pricing that business assuming that it is not coming back. And so you are going to a customer knowing you are going one time, you might get $200, $300, $400 for a service. The cost is not necessarily that different than it would be on a recurring service that you might be getting $150 or $200 for, for example. So you see a much better margin profile on the one-time business. That has an impact on the overall results. And I think it is, again, it is only 15% of the business, so I do not want to overstate how much of an impact that had on margins, but it certainly is margin accretive to our overall business. And I would say there is some impact in every category. I think the residential side was probably hurt a little bit more, especially in things like wildlife and rodent work and things along those lines. And ancillary and termite side, some of that softness we are able to get back because that just creates a workload maybe we could not get to and we sell it and still have some backlog that we carry into January, we carry it into January, things along those lines on some of that kind of work. But some of it, you just never really make up, you are not going to make it up.
Manav Patnaik: Got it. And then just, you know, just so we are not surprised in the next quarter as well. I mean, your full-year guide is 7% to 8% but just you talked about spillover into January. Just thoughts on what 1Q might look like relative to the rest of the year?
Kenneth Krause: Yes, it is always hard to, it is such a short-cycle business, which can change on a dime. But what I would say is we still are firmly anchored in a 7% to 8% organic growth for the year. I would not be surprised if it is a little bit slower to start the year.
Manav Patnaik: Because January we had more branches
Kenneth Krause: Closed in January than we did a year ago. Because of some of the weather that we endured. But I do firmly believe the business still is going to be, for the year, at that 7% to 8% pace of growth.
Manav Patnaik: Okay. Thank you.
Operator: Our next question is from Ashish Sabadra with RBC Capital Markets. Please proceed. Hi, thanks for taking my question.
Ashish Sabadra: Maybe just a question on the margins. Are there any puts and takes to be cognizant of as you think about incremental margins in 2026? Those margins of 25% to 30% are still below the midterm targets. How should we think about the tailwinds not just in 2026 but going forward to drive it closer to the midterm targets? Thanks.
Kenneth Krause: Yes. Thanks for the question, Ashish. When I look at the overall margin profile, I think about 2026, I will take you through a few thoughts. One, pricing remains very healthy. The 3% to 4% pricing is very realistic to expect. That is what we are introducing across the portfolio, just like we had here in the past couple of years. Second, two thirds of our cost of services is our people cost.
Ashish Sabadra: And we are really doing a lot better job at onboarding and training and
Kenneth Krause: Keeping those new hires with us. That turnover in new hire is really expensive. And we are seeing improvements there. That will be a tailwind for us as we go into 2026. Third, fleet cost. Second, another large item on cost of services. When we think about fleet in the 2025 financials,
Ashish Sabadra: Was about a $17,000,000 headwind. Six of that was in Q4 alone.
Kenneth Krause: Associated with the sale of leased vehicles. That should not be as much of a concern for 2026 as it was in 2025. And so when I think about the gross margin, I think there is a lot of reasons to be optimistic in our ability to lift margins and improve margins in 2026. And then when I go down the P&L and I look at SG&A and back office and all the work there, there continues to be great opportunities there. We are launching a company-wide systems implementation around our financial processes in 2026. We will start to see some benefits of that as we go throughout the year and into next year. So we remain very optimistic and confident in our ability to deliver that 25% to 30% margin profile.
Ashish Sabadra: That is great color. And then maybe just on the competitive environment, a question that we get quite often is have you seen any change from a competitive perspective? Obviously, the strength in recurring revenue seems to suggest that things are trending really well. But any color on that front will be helpful. Thank you.
Jerry Gahlhoff: We, this is Jerry. We have not seen or heard too much in that arena. We are very internally focused and we have lots of great competitors and new ones that pop up all the time. That keeps us on our toes and we wake up every day ready to fight another daily battle in competitive space. It is a competitive industry and there are just so many out there and it can be local, it can be regional. And so I would not characterize anything that we have seen really throughout 2025 as having any significant shift in the competitive environment, right? I mean, we continue to invest in the business in Q4. You saw that. And it is not that we are out allocating large amounts of capital to the digital side, but we continue to put more feet on the street. We continue to fund our door knocking areas, which are our fastest growing areas. And so we continue to be bullish about our position in our overall markets.
Ashish Sabadra: That is great. Got it. Thank you.
Kenneth Krause: Thanks.
Operator: Our next question is from Greg Parrish with Morgan Stanley. Please proceed.
Greg Parrish: Hey, good morning. Thanks for taking our, good morning. I just wanted to double click on 1Q and apologies for that. But just given many of us have been snowed in here for a few weeks,
Kenneth Krause: I know you said slower start, but maybe will the weather impact be kind of similar to what you saw in fourth quarter? Will it be worse? I know. It is like
Greg Parrish: A similar pace to fourth quarter. Is that a
Kenneth Krause: Decent way to think about 1Q? I guess, any further color I think would be helpful for us. Our weather forecaster cannot get the forecast tomorrow right. And we do not play, we do not, we try not to manage our business around that. It is our job to get our work done and continue to move forward and do everything we can despite that. And what I can assure you is that our team is going to work really hard despite whatever those headwinds are to get through that. It is really hard to say because just as we saw, you look at November, December, and some of the areas we mentioned earlier where you had two weeks where it just got frigid cold and then next thing you know, Thanksgiving you are wearing shorts. And it is just, these things just surprise us and that same thing can happen here. It could be really bad for a longer, we could have a two-week spell in late February or a late start to spring. So we cannot predict today or tomorrow. So I think it is really hard for us to think about those impacts. What I can tell you though is that our team is engaged and we are going to do our darnedest to fight through that. Okay. That is helpful. Yeah. Yeah.
Greg Parrish: I appreciate it. Had to try. Maybe just for my follow-up, maybe talk about some of the ancillary opportunities. I know you have a lot of shots on goal, a lot of things you are excited about. Maybe in 2026, what are you most excited about in terms of
Kenneth Krause: Gaining traction or
Greg Parrish: Maybe picking up a little bit versus the prior year?
Operator: Thanks.
Kenneth Krause: I think when you look at that business, what I consistently say, Greg, is that we have got a number of opportunities. We are not necessarily excited about just one opportunity. We have got so many different opportunities that we will avail ourselves to with our customer base.
Greg Parrish: And
Kenneth Krause: It continues to be a very low penetration rate.
Greg Parrish: You know, we estimate that less than
Kenneth Krause: 3% or 4% of our customers are using those ancillary services. And quite frankly, it is predominantly all in our Orkin brand. It is not in our specialty brands. So we are doing a lot of work to really get out, as Jerry indicated in his prepared commentary and commentary, improve collaboration across the brand portfolio to enable us to see some improvements in this area with some of our specialty brands. Really important area of growth for us, growing, you know, for the year, growing at 20%.
Greg Parrish: Really exciting. And it is a good area to continue to invest in because we are seeing great, great results
Kenneth Krause: Coming out of that area. There is just so much upside. The runway is so long to continue to drive that. And much when we talked about the Rollins Way and collaboration between our brands, the opportunities that we have also, we have some brands, say like HomeTeam, that do not do certain other services. And how do we leverage our other brands and then passing certain types of ancillary business that maybe they do not do, but somebody else does, over to their sister companies. There is so much for that and we are getting more and more mature in that space, using both with technology and really just bringing people together so that we are one big family all working together, taking care of each other. So that part is, we are watching that come together and come to life, is what excites me the most. Great. That is helpful color. Thank you.
Operator: Our next question is from Tomohiko Sano with JPMorgan. Please proceed.
Tomohiko Sano: Good morning, everyone.
Kenneth Krause: Good morning.
Operator: Thank you for taking my questions. Could you give us more colors on Sela’s revenue and EPS contribution in Q4? And if you could give us some more color on pipeline for M&A in 2026, it would be great. Thank you.
Kenneth Krause: Certainly. Thanks for the question, Tomo. Sela is performing exceptionally well. Just like Fox did two years ago. Sela contributed upwards of $16,000,000 in the quarter of revenue. I think year to date, we bought it in April, and year to date, it has contributed $55,000,000. We have actually seen $0.02 of non-GAAP or adjusted EPS accretion. That is really difficult to do in the first nine months of owning an asset, especially with the cost of financing where it is. Albeit, our team is doing an exceptional job with our commercial paper program and bond market. So with that said, Sela continues to perform well. Really good to have that group of teammates as part of our organization.
Kenneth Krause: I am really excited about what we can do in that area going into 2026.
Operator: Thank you. And any colors on M&A pipeline in 2026 to get to 2% to 3% please? Thank you.
Kenneth Krause: Certainly. Yes, thanks for that question. I missed that. But the M&A continues to be very healthy. We firmly believe at this point that 2% to 3% is very realistic and reasonable to expect. We are carrying over a point or so, slightly above that, of growth from M&A. And we have got a very full pipeline that we are continuing to evaluate. We have invested, over the last three years, we have invested almost $900,000,000 in acquisitions and bringing new teammates and new brands into the portfolio. We expect to continue to invest in 2026 and add 2% to 3% of revenue growth from acquisitions again in 2026.
Tomohiko Sano: Thank you very much. Thank you.
Operator: Our next question is from Joshua K. Chan with UBS. Please proceed.
Joshua K. Chan: Hi, good morning, Jerry and Ken. I guess maybe on the quarter, you mentioned that most of the weather effects were in the eastern side of the U.S. So is it true that the West and the South are basically the non-impacted regions grew at a
Joshua K. Chan: Similar rate as Q3, just some ways that maybe kind of ballpark or ringfence the weather issues, I guess.
Kenneth Krause: Yes. They absolutely did. So they had strong performance in the fourth quarter, generally speaking. And again, that is what gives us some of that reassurance. Now some of that Texas, Northern, South Central area, going up into Tennessee certainly got a little more impact in January. But in the fourth quarter, those areas performed to plan. They just could not exceed plan enough to offset some of the challenges that we had in other parts of the country.
Joshua K. Chan: Yes, that makes sense. And then on the Q1 kind of comment, I know that, you know, freezes are typically not the greatest thing and there seems to be more freezes in this Q1 than normal, I guess. So is that a potential concern when it comes to spring selling season? Like, how are you thinking about that?
Kenneth Krause: When we have the ice storms, the sleet and things like that, that is what shuts down branches. And when you cannot safely drive on the roads, you cannot safely access homes. And so we had some of that in January. And all things considered, we continue to fight through that. And so, yes, we have to prepare for that. And a lot of that is operational. Operationally, hey, when the sun is shining and the weather is good, we have to be as productive as we can possibly be because you do not know what is going to happen two days from now, right? So how do we front-end load our work? How do we make hay when we can make hay? And sometimes that requires us working weekends and things along those lines, but we have to do our best to get ahead of that and prepare and plan in order to perform as best as we possibly can in the first quarter. When you look back and you think about it, weather is always going to be a factor. It is just part of the business. Sometimes, it is more of a factor than others. But when the recurring revenue continues to perform and our ancillary business, our additional work with existing customers, continues to grow and we are able to grow those businesses north of 7%, we feel really good about our position. We feel really good about our ability to continue to grow earnings at double-digit pace and cash flow also at a double-digit pace. We certainly endured a January with weather but that is one month out of three. We still have a couple of months left in the first quarter and so we are not giving up yet on the first quarter. We have a lot of reasons to be optimistic because I think the team is highly engaged and focused on delivering exceptional results again here in 2026.
Joshua K. Chan: Great. That is good color and thank you both. Yep. See you, Joshua.
Operator: Our next question is from Jason Haas with Wells Fargo. Please proceed.
Jason Haas: Hey, good morning and thanks for taking my questions. Curious if you could talk about how digital leads have been trending? And if you plan to make any changes to your marketing strategy? Thank you.
Jerry Gahlhoff: We make changes to our marketing strategy every day, every
Jason Haas: Week.
Jerry Gahlhoff: Digital leads, we are still constantly fighting increases in the price of that, the cost of generating digital leads, and we have to reallocate and adjust those plans all the time. We do not necessarily or responsibly go spend into the market just to get leads. We have a budget. Having that budget forces you to manage within it and allocate resources to drive the best results we can to drive new recurring customers into our portfolio of brands. So, that continues to be the focus. Digital is a channel. It is not our only channel. We have brands that acquire customers lots of different ways. So we are not overly reliant on that. I love that about our business. But that has been a challenging, evolving, for I guess as long as we have been in digital, except it is just changing even faster these days. And I think our team does a really good job adjusting to that. I think the broad diversification of the brand portfolio is certainly a competitive advantage. As I had mentioned earlier, the door knocking business, Sela, but also Fox, you go back to Fox in 2023, that business is growing exceptionally well. And so our ability to pivot and maneuver and change, to be agile as market conditions change, is certainly advantageous for us and helping us continue to deliver some solid financial results.
Jason Haas: Got it. Thank you. Makes sense. And then as a follow-up, are you able to talk about when you get one-time business,
Jason Haas: How often does that translate into a recurring relationship with a customer?
Jason Haas: Is that like a source of new customers and you are able to build that recurring relationship from those one-time calls?
Jerry Gahlhoff: Sometimes. Certainly that happens. What you do not want to do is sell somebody who really wants a one-time service and is not fully committed to recurring services, sell them a recurring service because it usually results in somebody that is not happy. What we do find, this is really true, we have done the research on this over the years, particularly at Orkin, we have a lot of what we call recurring one-time customers. These are customers that come back to us year after year. They get one or two services a year and they are willing to pay more for those one or two services a year, but they do not want to get, say, four to six services. It is just not their model. But yet they trust Orkin, they trust the brand, they know they got results, they come back. So we know there is certainly a portion there. But we also have a balance of not providing something to someone that they do not really want. That just sets the relationship up for failure.
Jason Haas: Got it. Very helpful. That makes sense.
Jason Haas: Thank you.
Operator: Our next question is from Peter Jacob Keith with Piper Sandler. Please proceed.
Peter Jacob Keith: Hey, thanks. Good morning, everyone. I wanted to just dig into the incremental EBITDA margin which was below 20% and make sure I understand it. So I guess the weaker sales came in, but is it that you were still hiring and training and investing in those people costs? And then
Peter Jacob Keith: If that is right, just how does that inform your thinking around budgeting and
Peter Jacob Keith: Those costs in Q1, with also some potential for sales weakness?
Kenneth Krause: Yes, certainly. We continue to invest. Markets continue to be very healthy. Recurring business continues to come in. New customers continue to come in, Peter. And so we continue to see really good demand for our services.
Peter Jacob Keith: When I
Kenneth Krause: Impact the margin in Q4, certainly, the volume had an impact. When you look at that volume, call it $12,000,000 to $15,000,000 of additional volume, probably $7,000,000 to $8,000,000 of additional profitability from an incremental perspective, as that business is a little bit more profitable than our other business. And then the other thing that I called out, which should help us here as we go into 2026, is the fleet cost and the gain on vehicle sales. We had a headwind of, I believe, $6,000,000 in Q4 associated with this. That was roughly 80 basis points of headwind. So I think those two items are certainly impacting, they impacted the Q4 results. I certainly expect fleet to improve. And I also expect that one-time business to improve as we move throughout 2026. And I would not say we are still hiring a lot in the fourth quarter. What I would say is we have more people that we brought on earlier in the year, have carried through the year. Have them
Peter Jacob Keith: Trained, experienced,
Kenneth Krause: And as long as they are performing, they are going to stay through those, call them the late fall and winter months, so long as the performance is good. And so more than anything, we just have more people on staff that we brought in earlier. Now those people having gone through a season as we get into February, March, April, as we turn the corner and get into season, these people are put in a much better position, much better experience to be able to serve our customers quite optimally.
Peter Jacob Keith: Okay. That is very good feedback. Thank you for that.
Peter Jacob Keith: And then I wanted to circle back on one of the comments about what you are most excited about for 2026 and driving that cross-collaboration amongst your brands. There is also potential for maybe a CRM database upgrade. And I am wondering just on the IT front, are there any that need to be made or any sort of structural changes to the CRM infrastructure to help drive that collaboration?
Kenneth Krause: We are evaluating that. We have had a lot of recent meetings about that and those are really ongoing discussions. More than anything, we are really talking about the use of AI because most of these CRMs are heavily driven on just the customer database. So how do we use AI to link all these systems together and orchestrate them irrespective of exactly which CRM they are on. So we are having those conversations now and making some decisions around particularly how we invest in AI to help us do that. More so than just strictly making, we will have some brands and some places that may need some CRM changes to help us make this work. But that is on our radar screen. It is still, we are still probably in the first inning of those discussions.
Kenneth Krause: Yes. When you look at
Kenneth Krause: When you look at the capital needs, we do not see a major change in capital outlay with respect to CapEx in 2026. We are making investments. I mean, I commented earlier around our enterprise-wide financial systems that we are putting in place to help enable improvements. That is going to take some investment, but not anything I do not believe that will be noticeable and disrupt our cash flow profile. And there is nothing that is an overhaul of anything. It is more of what do we layer on top to enable and get systems talking to each other better. Right? How do we streamline it? How do we continue to modernize all the things that we are doing and improve the tools that our teammates are using to improve the collaboration across brands. Okay. Very good. Thanks so much.
Operator: Our next question is from George Tong with Goldman Sachs. Please proceed.
George Tong: Hi, thanks. Good morning. You mentioned that you expect 1Q one-time revenue performance to be similar to 4Q.
George Tong: You talk about what you expect for one-time revenues for the rest of the year? And how that will be supportive of your overall 7% to 8% organic revenue growth outlook?
Kenneth Krause: Yes. We have not put a number out there in terms of what we expect in Q1 with one-time revenue. The business is, what I did say in my prepared comments is it is growing at, if you go back over time, 1% to 2%. It might have a quarter where it jumps up 2% to 3%, then you have a quarter like Q4 where it was declining 2% to 3% or so. And so the business does jump around a little bit. It is 15% or so of our business. But I think if we get, when I think about the growth algorithm, if I can get seven plus percent, 7.5% of growth from recurring and ancillary and I can get 1% to 2% from this other business,
George Tong: It is very acceptable. And it allows us and enables us
Kenneth Krause: To grow our overall portfolio organic growth at the 7% to 8% and allows us to get that double-digit earnings growth to come through the model. So that is kind of how I view it. That is how I look at it, and that is what I would hope to continue to deliver.
George Tong: Got it. That is helpful. And then related to that, are there certain indicators or metrics that you can use to track how one-time revenue performance is performing? Any leading indicators or KPIs can give you confidence or visibility into performance in the coming quarters?
Operator: That is a good question. I think the one thing
Kenneth Krause: That as we look at it, again, it is such a small business, like it is not a major business. It does not move with economic cycles. So it is hard to pull a macro factor and say, hey, when this does this, if industrial production does this, we do this. That is just not the case. We are not tied to purchase managers. We are not tied to industrial production. It is very much one-off business. But when you look at weather patterns, you look at the average temperature. I mean, when you look at the Northeast, you look at the Midwest, in November and December, the weather was much colder than it was a year ago. And it is quite frankly that simple. If you cannot get out on the road, if you cannot get safely on a building to a house, we are not going to send our people out. And so that certainly has an impact on the business. But again, it is such a small business in terms of overall portfolio size that it is hard to tie that to any macro factor.
George Tong: I look, I think about over the years, Ken,
Jerry Gahlhoff: Over the last fifteen years since bedbugs have had their resurgence in the U.S., there have been years when bedbugs suddenly shoot back up. Right. And it is all over the news and you know, people bring them home from hotels and it is a lot more. Then all of a sudden, there could be a year where it is soft and instead something else is there. So all those types of various pests that cause that one-time business to come and go have been in our business over decades, and it will continue to be that way. And when one thing kind of goes away, another issue arises or some invasive pest comes. So it is really hard to predict. Right? And we do not use it. We do not use that measure to determine how healthy our business is. Yes. That ebbs and it flows. It is just extra business that comes in. And so our measure and our metric for determining how healthy our business is is our revenue from recurring contracts and recurring arrangements with customers, and then the nine shots on goal, the ancillary business. I mean, that is what the business I believe is valued upon, and that is how we measure the health of our business. Very helpful. Thank you. Thank you. Our next question is from Brian Christopher McNamara with
Operator: Canaccord Genuity. Please proceed.
Brian Christopher McNamara: Hey, good morning, guys. Thanks for taking the question. So I am curious about the new tech
Brian Christopher McNamara: Retention. You guys have mentioned that. You outlined that in New York in early December.
Operator: And
Brian Christopher McNamara: You mentioned newer teammate retention improved, I think, 8% in the prepared remarks. So I am assuming that is first-year techs. Does that mean you had to hire 8% fewer new techs? Or what does that 8% specifically measure? And then, yes, I think you mentioned it in December, you had mentioned a kind of a $5,000,000 to $10,000,000 in savings number expected for the year. I am curious where that landed and what is embedded in your 2026 expectation there? Thank you.
Kenneth Krause: Yes. The last number I saw was approaching us hiring, having to hire, about 600 fewer people year over year as a result of our improvements that we made in retention. And that certainly has an impact on payroll margin, helped us the first, especially the first nine months of the year, which is more the time when you are actually hiring. We still have room to go there to continue to improve that and our team has done a really good job sort of blueprinting the first-year journey of our people so that we know if we can keep you here for a year, we can have you fall in love with this business and you will stay an awful lot longer. So our team has really put forth some plans and kind of a model for us to follow that first year. We, January, we had our leadership meeting with all our region managers. We had 250 people in the room and this was part of our breakouts and part of our teachings that we did to ensure that we are driving these best practices down through our business because this continues to be such an opportunity for upside to, it is not only to improve our retention, we know this will be a direct correlation to help us improve our customer retention in the end. I mean, when we look at it, you know, 600 people, $10,000 to $15,000 of onboarding cost is between $5,000,000 and $10,000,000 of savings. And we hire a lot of people every year, and we lose way too many. And 600 is just a small fraction of those people. And we are focused on this because we feel like this is tens of millions of dollars of opportunity. And it also is an opportunity to help influence growth. Because what we know is turnover in technicians is tied to turnover in customers. And so if we can do a better job at onboarding and keeping people, we are going to do a better job of keeping customers.
Brian Christopher McNamara: Helpful. Thank you.
Brian Christopher McNamara: Thank you.
Operator: We have reached the end of our question and answer session. I would like to turn the conference back over to management for closing remarks.
Jerry Gahlhoff: Thank you, everyone, for joining us today. We appreciate your interest in our company, and we look forward to speaking with you on our first quarter earnings call in just a few months.
Operator: Thank you. That will conclude today’s conference. You may disconnect your lines at this time and thank you for your participation.